Operator: Ladies and gentlemen, thank you for standing by. Welcome to the MEDNAX Second Quarter Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would like to turn the conference over to our host, David Parker, Vice President of Investor Relations. Please go ahead.
David Parker: Thank you, Cara, and good morning, everyone. Thank you for joining us. Certain statements and information during this conference call may be deemed to be forward-looking statements within the meaning of the Federal Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on assumptions and assessments made by MEDNAX's management in light of their experience and their perception of historical trends, current conditions, expected future developments and other factors they believe to be appropriate. Any forward-looking statements made during this call are made as of today, and MEDNAX undertakes no duty to update or revise any such statements, whether as a result of new information, future events or otherwise. Important factors that could cause actual results, developments and business decisions to differ materially from forward-looking statements are described in the company's most recent annual report on Form 10-K and its quarterly reports on Form 10-Q, including the section entitled Risk Factors. With that, I'd like to turn the call over to Dr. Roger Medel, our CEO.
Roger J. Medel: Thank you. Good morning, and thanks for joining our call today. Earlier this morning, we again reported strong results from operations for the 2013 second quarter, which reflects the continued successful execution of our long-term growth strategy. Our revenue for the second quarter increased by approximately 18%, with growth attributable to contributions from recently acquired practices at 16% and the remainder coming from our same-unit results. We also generated solid operating income and net income growth for the second quarter and continued to leverage our infrastructure as we integrated practices into our national group model. We had a very active quarter on the acquisition front, adding 3 anesthesia practices to our American Anesthesiology division and 2 neonatology practices to our Pediatrix Medical Group division. As I mentioned on our first quarter call, in early April, we acquired Neonatology Associates, a neonatal physician group practice based in Phoenix, Arizona, followed in early May by the acquisition of Gwinnett Anesthesia Service in Lawrenceville, Georgia. In late May, we acquired Anesthesia Specialists of Houston, the third Texas-based anesthesiology practice to join our American Anesthesiology division. In mid-June, we acquired Anesthesia Group of Onondaga based in Syracuse, New York. This is the first New York-based anesthesiology practice to join American Anesthesiology, which now consists of 20 practices throughout 9 states. To round out our very successful quarter of acquiring and integrating practices, in late June, we acquired Neonatal Intensive Care Associates based in Lubbock, Texas. Also, as we announced yesterday, since the end of the second quarter, we have added an additional practice to our Pediatrix Medical Group division. Sanjay Patel, is a neonatology practice, consisting of 5 physicians based in Odessa, Texas. With these acquisitions, 6 physician group practices have become private MEDNAX in 2013, 3 as part of American Anesthesiology and 3 as part of Pediatrix Medical Group. As reflected in these recent acquisitions, I want to reinforce that our pipeline is as strong as it has ever been. And there is continued escalation of interest in our American Anesthesiology and Pediatrix Medical Group divisions, representing many growth opportunities for the remainder of the year and well beyond that. It is safe to say that the environment that brings physician groups to our company, one that makes us an attractive haven, will only become more difficult for independent practices with limited resources to invest in infrastructure, and the limited ability to address the increasing uncertainty and ever-changing regulation and patient care expectations in healthcare. I believe this is a key driver of our acquisition pipeline and we remain very confident in our targeted acquisition spend of $400 million for 2013 across all of our physician specialties. As I discussed in past conference calls, a significant portion of our acquisitive growth has been in our American Anesthesiology division, which now represents over 30% of our revenue. Given the importance of American Anesthesiology to our long-term strategy, we remain focused on methodically building the systems and infrastructure necessary to support the strategic growth of this division, and in a way that will allow us to continue to scale at a national level. We anticipate and expect that this will be very similar in form to the pioneering model we have established in our Pediatrix division over the last 30 years. We are now at a point with our American Anesthesiology division where we are furthering the evolution of the infrastructure to better support the needs of our physicians and hospital partners, and most importantly, to continue to take great care of our patients. So I want to take some time here to address a few specific examples of what we are doing. As a first broad step, we have created our first regional management team for American Anesthesiology. The initial region, which will have responsibility for practices in Florida, Georgia, Tennessee and Texas, will be led by Dr. Eric Mason. As you may recall, Dr. Mason joined the company through the acquisition of his practice, Critical Health Systems of North Carolina in October 2008. And in July 2011, Dr. Mason was appointed as Senior Vice President of American Anesthesiology. The second region is currently being developed, and our goal is to have that structure in place within the next month. In conjunction with the corporate medical directors and directors of operations, the regional infrastructure will be charged with helping each of their practices achieve their growth potential, with specific responsibilities to include all hospital, payor and employee contracting, financial and budgeting issues, coordinating the implementation of the Quantum Clinical Navigation System, High Reliability Organizations, patient safety programs, customer service initiatives, human resource management, and oversight of all new personnel. Another important step we have taken is to specifically address our focus on research, education and quality for the division. During the third quarter, Dr. Katherine Grichnik will be joining American Anesthesiology as the Director of Anesthesia Research, Education and Quality. Dr. Grichnik will be responsible for the division's education and continuous quality improvement programs, and will work with her physician peers and other members of the team to develop our anesthesia research capabilities, including participation in clinical trials and patient safety initiatives. Dr. Grichnik completed her residency and fellowship training at Harvard University of Brigham and Women's Hospital, following her medical school training at Tufts University and internship at Baylor College of Medicine. In addition, she holds a Masters of Science from the University of California at Berkeley. Kathy has been at Duke University since 1991, became a professor of Anesthesiology in the division of Cardiothoracic Anesthesia and Critical Care Medicine. She has served in a variety of leadership and advisory roles throughout Duke, including Associate Dean for Continuing Medical Education and lately, Director of the Duke Clinical Research Institute, Center for Educational Excellence. Each of these steps are critical developments needed to support the strategic long-term growth of American Anesthesiology, at the same time, as providing stability to our national group practice. We are advancing our clinical model that allows physicians to be physicians, while focusing on patient care. Physicians continue to see the value in joining our national group practice. And the clinical infrastructure investments we are making continue to pay dividends as we present our model to interested anesthesia practices. This further solidifies our reputation as the physician-centric national anesthesia group. I hope that these comments help you to appreciate the importance we place on the building blocks to long-term growth at MEDNAX. We have a sound strategy. We're executing on our strategy, and we remain focused on the attractive long-term opportunities available to us. Before I turn the call over to Vivian, you'll see that we also announced this morning that our Board of Directors has authorized the share repurchase program of an amount of shares sufficient to offset the dilutive impact from our equity programs. Our primary use of cash will continue to be focused on the pursuit of acquisitions across all of our physician specialties. At the same time, we believe that the combination of our ongoing cash flow from operations and our line of credit provide us sufficient access to capital to continue our acquisition growth strategy, while moving forward with this share repurchase program for the long term. At this time, let me turn the call over to our CFO, Vivian Lopez-Blanco, for a review of our second quarter 2013 financial results before we open the call to take your questions. Vivian?
Vivian Lopez-Blanco: Good morning, and thanks for joining our call. As we highlighted in our press release this morning, our results for the second quarter 2013 reflect strong revenue and earnings growth, primarily driven by acquisitions over the last year. We reported earnings per share of $1.37 for the 2013 second quarter. Net patient service revenue for the 3 months ended June 30, increased by 17.7% or $79.7 million to $529.2 million from $449.5 million for the comparable prior year period. During the 3 months ended June 30, we started to receive parity payments from a few states that are now paying at the Medicare rate for Medicaid services. Our second quarter results include approximately $2.5 million in revenue from parity payments that contributed approximately $0.02 to our net income per diluted share, reflecting the impacts from incentive compensation and income taxes. Of our 17.7% revenue growth, contributions from recently acquired practices were 16%, while same-unit revenue grew by 1.7% when compared to the prior year period. To add some detail to our acquisition-related revenue growth, American Anesthesiology practices contributed 84%, with the remaining 16% coming from acquisitions in Pediatrix Medical Group. Same-unit revenue grew by 1.7%, with revenue growth attributable to net reimbursement-related factors of 2%, partially offset by a volume decrease of 0.3%. Our same-unit revenue growth from net reimbursement-related factors was principally due to continued improvement in reimbursements received from third-party commercial payors. As we highlighted in our release this morning, for the first time in 5 quarters, same-unit payor mix showed a favorable shift. On a sequential basis, same-unit payor mix showed 100 basis points positive shift towards a higher percentage of services reimbursed from commercial payors as compared to government programs. Same-unit growth attributable to patient volume decreased by 0.3% for the 2013 second quarter when compared to the prior year period, driven by declines in our neonatal anesthesia office-based pediatric practices, partially offset by increases in maternal-fetal medicine and other pediatric physician services, primarily newborn nursery and pediatric intensive care services. For the 2013 second quarter, same-unit neonatal intensive care patient days were down 1.3% when compared to the prior year period, while births at our hospital were essentially flat. I'd like to remind everyone that we were up against a very tough comp on a same-unit growth with our second quarter 2012 same-unit growth at 3.9%. Our profit after practice expense for the 2013 second quarter was $177.8 million, up 14.3% from $155.6 million for the prior year period. Profit after practice expense margin decreased by 101 basis points, which can be attributed to the variability in margins due to the mix of practices acquired since April 2012, primarily driven by the impact from anesthesia acquisitions. We generated operating income of $113.4 million for the 2013 second quarter, an increase of 13.7% from $99.7 million for the prior year period. General and administrative expenses grew by 13.3% to $54.6 million for the 2013 second quarter, a growth rate that is considerably lower than the rate of revenue growth. As a percentage of revenue, G&A expenses improved by 40 basis points during the 2013 second quarter to 10.3% from 10.7% for the prior year period. Depreciation and amortization expense for the 2013 second quarter increased to 1.9% of revenue from 1.7% from the prior year, primarily due to the amortization of intangible assets related to acquisitions, primarily driven by the impact from anesthesia acquisitions. Net income for the 2013 second quarter was $69.2 million, up 14.3% from $60.5 million for the 2012 period. Our diluted earnings per share increased by 12.3% for the 2013 second quarter to $1.37 based on a weighted average 50.5 million shares outstanding, which compares with diluted earnings per share of $1.22 based on a weighted average 49.5 million shares outstanding for the 2012 second quarter. Revenue for the 6 months ended June 30 was $1.03 billion, an increase of $159.7 million or 18.3% from the prior year 6 months revenue of $872.1 million. Of this $159.7 million increase, over 89% or approximately $142 million of the revenue growth came from acquisitions, while the remainder was from same-unit growth. Again, to add some additional detail to our acquisition-related revenue growth, American Anesthesiology practices contributed 84%, with the remaining 16% coming from acquisitions in the Pediatrix Medical Group. Same-unit revenue for the first half of 2013 grew by 2%, driven entirely by growth from reimbursement-related factors, which was up 2.1% net. Through the first 6 months of 2013, we continue to see reimbursement from third-party commercial payors, while the shift impair mix from commercial payors to government payors was up year-over-year. Same-unit volume for the first half of 2013 declined by 0.1%, driven by declines in our neonatal pediatric cardiology and anesthesia practices, partially offset by increases in other pediatric physician services, primarily newborn nursery and pediatric intensive care services, as well as our maternal-fetal medicine practices. Operating income grew to $204.9 million for the first half of 2013, up 14.4% from $179.1 million for the first 6 months of 2012. For the first half of 2013, net income grew by 14.4% to $124.6 million, up from $108.9 million for the same period last year. We earned $2.47 per share based on a weighted average 50.5 million shares outstanding for the first half of 2013, up from $2.20 for the first half of 2012 based on 49.5 million shares outstanding. Looking at our balance sheet, we had cash and cash equivalents of $13.2 million at June 30. Accounts receivable at June 30 were $269.8 million, an increase of about $22 million as compared to December 31. The growth of our AR is related to recently acquired practice. Days sales outstanding improved by 2 days to approximately 46 days for the 2013 second quarter as compared to the fourth quarter of 2012, primarily as a result of improvement at existing units, as well as the continued integration of recent acquisitions. The total amount outstanding on our $800 million revolving credit facility was $153.8 million at June 30. During the 2013 second quarter, we generated strong cash flow from operations of $127.2 million. This is an improvement from last year where we generated approximately $117.1 million from operations. The increase in cash flow from operations for the 3 months ended June 30 is primarily due to improved operating results. As Roger mentioned, as part of our capital structure planning, the board has authorized the repurchase of our shares of common stock up to an amount sufficient to offset the dilutive impact from the issuance of shares under our equity programs. The share repurchase program is effective immediately and permits us to make open market purchases from time to time based upon general economic and market condition and trading restrictions. The authorization of the share repurchase program reflects our confidence in the national group practice business model and our ongoing commitment to enhance shareholder value. We continue to achieve solid financial results, have a strong balance sheet with very low debt, ample cash flow and plenty of access to capital, which provides us the flexibility to simultaneously invest in our business and initiate a share repurchase program, and we remain very optimistic about our prospects for continued growth. Moving on to our outlook for the 2013 third quarter, as we announced in this morning's press release, we expect that our earnings per share for the 3 months ending September 30, 2013, will be in a range of $1.46 to $1.51. The range for our 2013 third quarter outlook assumes anticipated same-unit revenue growth for the period of approximately 1.5% higher to 3.5% higher year-over-year on a total same-unit basis. This same-unit revenue growth will be driven primarily by net reimbursement growth, including the impact from parity. The forecast estimates volume to be essentially flat for the 2013 third quarter. With regard to patient volume, last year, our third quarter same-unit neonatal intensive care patient days were strong at 3.75% when compared to the prior year. Regarding the Medicaid parity rule, we continue to expect this rule to have a positive impact on our practices. As I mentioned, we have started to receive parity moneys from a few states. As a result, we're including approximately $0.05 from parity in our outlook for the 2013 third quarter for payments we expect to receive from those states that are currently paying. We will continue to keep you updated on parity as it applies to MEDNAX. We expect our share repurchase program to positively impact our earnings per share in future periods. The impact on the 2013 third quarter will depend on the timing of purchases based on market condition and trading restrictions. Now I'll turn the call back over to Roger.
Roger J. Medel: Thank you, Vivian. With that, operator, let's open up the call for questions, please.
Operator: [Operator Instructions] Our first question will come from the line of Ryan Daniels with William Blair.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Let me start with a quick one on the parity. I just want to get a better feel for the impact in both the second and third quarters. Does that include both the payments you receive during the period, as well as some catch-up dating back to the start of the year? Any way you can kind of break that down for us, Vivian?
Vivian Lopez-Blanco: Yes, so basically, Ryan, we only have 1 state that has included the retro payment, which basically was not during the quarter. So the estimate for the third quarter does include some of that retro payment. But we haven't seen much of that yet, but I do anticipate that the third quarter activity will start getting much better.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay. That's helpful. And then, Roger and Vivian, I guess a question for both of you. You've discussed a lot of the investments you're making in the anesthesia side and that's helpful color. I'm curious if that will show a noticeable uptick in SG&A, kind of given the R&D and management expenses that you anticipate going into Q3 and Q4. Will that be noticeable to us in the financial line?
Vivian Lopez-Blanco: Well, we will have a little bit of an uptick, but I do think that there will still be some favorability, obviously, that does get impacted by top line growth as we leverage some of the infrastructure, even with us doing some of these bills. So we had roughly about 40 basis points, so we think that, that potentially could be good going forward here.
Roger J. Medel: Yes, I would also add to that, Ryan, that we have been making investments all along. And this is not the first time that we -- we just wanted to highlight the fact that we, in fact, have decided to go with a model similar to our Pediatrix model, where we're splitting the country into different regions, and that was mostly the intent here.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay. That's helpful. And then last one, I'll hop off into the queue. Just any color on kind of the Medicaid front as we look forward? I know all the state budgets are done. And last time we spoke, you indicated it looked pretty good, no rate reductions in the large state. But what's the look overall for the entire book of business?
Vivian Lopez-Blanco: Yes, so Ryan, we still believe that to be the case, as we had our call last week. And right now, we're faring quite well on that, kind of similar to last year.
Operator: Next, we'll go to the line of Kevin Ellich with Piper Jaffray.
Kevin K. Ellich - Piper Jaffray Companies, Research Division: Roger, I guess, first, I wanted to start off with the volumes, the negative 1.3% same-NICU patient day growth. And I understand you guys had a tougher comp this quarter and next quarter. What are you seeing in terms of birth trends? And then how do you split up the volume between anesthesia and NICU?
Roger J. Medel: Well, the birth volume, and I think have been kind of flat actually in most of our hospitals, and so we haven't really seen any significant uptick in birth volumes at least in our facilities. And speaking with some of my partners and peers across the country, I think they're experiencing the same thing. We did have somewhat of a downtick as well in anesthesia. And it's -- may be Karl can address that a little better. I have Karl sitting here.
Karl B. Wagner: Yes, for the quarter, we saw a slight downward trend in total cases. Part of that actually in our facilities, we did see a slight decrease in OB volume, so the epidurals and the C-section that we're doing were actually down. We did see a trend towards higher inpatient volume for inpatient surgeries, and the offset that we got was lower outpatient volume at both the hospitals and the surgery centers, which is where you're going to see more of your elective-type volumes. So we did see it, but it was very slight as far as the change for the quarter.
Kevin K. Ellich - Piper Jaffray Companies, Research Division: Karl, you don't -- that's actually kind of counterintuitive from what we've been hearing from the hospitals in terms of weaker inpatient trends. So do you have any explanation as to what's behind the uptick in inpatient?
Karl B. Wagner: Yes, well, I think, one, we're not necessarily a cross-section of the country of what's going on there. So we're in 20 practices, about 50 to 60 hospitals, which is a small picture as to what's going on across the country as far as that goes. And when you speak to the hospitals and I'm certainly not a hospital expert, I don't know if you speak to hospital inpatient services overall versus hospital surgical volumes, I can't really comment if there's a reduction in their medical volumes at all.
Kevin K. Ellich - Piper Jaffray Companies, Research Division: Okay. No, that's helpful. And then I guess, just switching back over to the parity. Have you confirmed with all of your states that you'll be receiving the payments? Or I guess what sort of visibility do you have at this point?
Vivian Lopez-Blanco: Yes, so even though I know that CMS has said that pretty much all the state plans have been approved, I guess, with the exception of California, from our parity work group, we have about 18 states that have confirmed that they have gotten their applications approved. And so we still have a little bit of road to go. But again, the timing of these payments is still the more challenging thing. And frankly, the consistency of the payments as well. So I do think, as I mentioned to Ryan, Kevin, that we are making a lot of progress with that even from the second quarter when we closed the activity that we're seeing in the third quarter. That's why we bumped our estimates up in the third quarter. So I just think, as I've mentioned to you guys before, it's kind of a slow process, but it sounds like we're making some pretty good progress here.
Roger J. Medel: And just to finish up on that thought, we are going to remain cautious and conservative. Just to give you an example, the state of Texas told us the other day they're not -- we're not going to see any payments from them until January of 2014. So although we expect that we're going to get paid from Texas and we absolutely think that Texas' word will be good, we're not sure exactly how we're going to account for that. So we've got a lot of work to do and there's still a lot of questions on these payments.
Kevin K. Ellich - Piper Jaffray Companies, Research Division: Did they give you a reason why they're not going to pay until January '14?
Vivian Lopez-Blanco: Yes, I mean, Texas, as you guys know, is a pretty high-managed Medicaid state. And with some of those states, they have to basically do the negotiations on that and the practicalities of getting that implemented. So again, as Roger said, I don't think that it's not that we're going to get the payment, although we're trying to speak to them to get something more affirmative on that because obviously, from year-to-year, we'd like to have more clarity on that. But I do think part of it is, when they have a lot of managed Medicaid, they do have to, then negotiate that as well.
Kevin K. Ellich - Piper Jaffray Companies, Research Division: Got it. And then just switching over to pricing, Vivian. 2% growth in net reimbursement-related factors is pretty good and obviously, the sequential parity mix shift was a positive as well. How does that split between pricing on the neonatal business versus anesthesia? Are you seeing positive commercial pricing growth in both businesses?
Vivian Lopez-Blanco: Yes, yes, we're seeing commercial pricing growth in both of those. Yes, absolutely. As you said, Kevin, one of the biggest positives on the net pricing side is that year-over-year, the P [ph] mix was only slightly negative. Again, it was positive on a sequential basis, but year-over-year, it was only slightly negative, the best improvement that we've seen in a long time.
Kevin K. Ellich - Piper Jaffray Companies, Research Division: When you say slightly negative, are we talking like 20 basis points or 30 basis points?
Vivian Lopez-Blanco: About 30, yes.
Operator: . And next, we go to the line of Ralph Giacobbe with Credit Suisse.
Ralph Giacobbe - Crédit Suisse AG, Research Division: I guess going back to the volume, I think in the past, you've discussed how you didn't think some of the macro factors in terms of hospital volume generally would affect you given smaller number of practices versus larger numbers. Does your opinion change at all just given anesthesiology becomes a bigger component of the business? And maybe specifically in the context of kind of what we saw this quarter, which was slightly negative volume and guidance even for next quarter that assumes flat given sort of just volume environment that we're hearing from many of the hospitals.
Roger J. Medel: Well, you know, -- Ralph, good morning. It's hard to guess, right? We continue to see variability. It isn't any region specifically that we're looking at where we're seeing lower volumes. If we look again on a month-by-month basis, you'll see some regions are up, and then the following month, that region will be down. So I'm not seeing anything still 5 years into this conversation consistently across the country, where I feel like maybe because there are fewer immigrants coming into Texas that's having an impact or just isn't playing out that way. So what we're trying to do is remain conservative and give you our best guess for where the volume is going to be. And we're just -- a, we're looking at the quarter comparison; and b, we're looking at just what happened over the last couple of quarters and trying to come up with our best guess.
Ralph Giacobbe - Crédit Suisse AG, Research Division: Okay, all right, that's fair. And Vivian, do you actually have the payor mix numbers for the quarter and what it was last year?
Vivian Lopez-Blanco: I mean, we just talk about that generally about how it's gone up or down. We don't give the absolute number. We do disclose that once a year. But as I mentioned to Kevin, basically, quarter-over-quarter it was positive, and then year-over-year on a quarterly basis, it was slightly negative at about 30 basis points. And then on a year-to-date basis, it was slightly -- it was a little bit more negative because of the first quarter, so basically roughly about 75 basis points or so negative on the year-to-date basis, year-over-year.
Ralph Giacobbe - Crédit Suisse AG, Research Division: Okay. And then maybe is there any way you can break out or give us what same-unit margin was and how that compares to a year ago, right? So I understand that margins are going to be compressed as you change your mix. But I'm just wondering and trying to get a sense of what sort of the underlying margin did for the quarter?
Vivian Lopez-Blanco: Yes, well, I mean, we did give some direction on that because I did talk about the margins being primarily driven by the mix of practices that we acquired. So it was not related to same unit, but we haven't specifically broken them out. But that's my idea of giving you guys direction on where it's coming from.
Ralph Giacobbe - Crédit Suisse AG, Research Division: I guess, so directly, would you expect -- I mean, if you strip those out, even same-unit margin was up on a year-over-year basis?
Vivian Lopez-Blanco: Well, again, what I said before, I mean, that fluctuates from quarter to quarter because you have to look at where the same-unit growth is coming from. This quarter, as we said, it wasn't -- the volume was lighter and the pricing was better. And then sometimes, it has to do with the bonus accruals and the expense accruals related to where you're at with malpractice, et cetera. So it does jump around from quarter to quarter. But this quarter, specifically, the negative impact on the margin was driven by the mix of practice and specifically anesthesia practices.
Ralph Giacobbe - Crédit Suisse AG, Research Division: Okay. And then just last one. You mentioned anesthesiology is now 30% of revenue. Any willingness to talk about what percentage of profitability or EBITDA that piece is to the business?
Vivian Lopez-Blanco: That's a good try, but no. Yes, not at this point. We're going to try to give more color.
Roger J. Medel: Karl is vigorously shaking his head.
Operator: And next, we go to the line of Kevin Fischbeck with Bank of America Merrill Lynch.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Okay. Maybe just going back to one of Ralph's questions there. With the -- when you say that the same contract growth was pretty much flat from a margin perspective and that most of the margin deterioration was because of new -- of acquisition? Are you saying inherently because of the margin profile of the acquisition or just because acquisition has generally come online a little bit low from a margin perspective and that over time, you would expect to ramp them back up?
Roger J. Medel: That's right.
Vivian Lopez-Blanco: So it's a combination of both. I mean, we have said that obviously, the anesthesia margins are slightly lower than the neonatology volumes, although -- I'm sorry, margins. But that, again, changes depending on what's happening with the volume of NICU, et cetera. But there are improvements to the anesthesia margin after we acquired them. As we've said before, specifically on the revenue cycle management side, as we talked about here, we're still getting positive commercial pricing on anesthesia, as well as pediatrics. And so there are some improvements. But the margin profile is slightly different.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Okay, that's helpful. And then as far as the Medicaid parity number, I guess you're talking about a lot of different ways. I just wanted to make sure I understood. So are you saying that the $0.05 number that you're looking for, for Q3 kind of reflects the 18 states that are currently paying you and that if more states pay you, then the Q4 number would be higher? Or is that also potentially you'd be making some assumption about more states coming back to you during Q3 to get to the $0.05 number? I just want to understand if $0.05 is a right run rate to think about in Q4 or next year?
Vivian Lopez-Blanco: Yes, no, well, we're hoping that in Q4, it will be higher because as Roger said earlier, we're anticipating for more activity. So the -- let's just clarify what I said. The 18 is 18 states that we know from talking to our Medicaid folks that basically there's -- planned amendments have been approved. That does not mean that they started paying us because basically, we had around 5 or 6 states that basically had started paying us. And so we do anticipate that to go up, hopefully, during the third quarter and certainly into the fourth quarter. So hopefully, the run rate in the fourth quarter will be higher than what we have estimated in the third quarter. And we do think in the third quarter, there is some potential upside to that. But at the moment, it's hard for me to know that because of the inconsistency of how these payments have come in.
Kevin K. Ellich - Piper Jaffray Companies, Research Division: Okay. And it sounds like you probably wouldn't even be at your run rate number until Q1 because at least Texas is not going to flow that through until then.
Vivian Lopez-Blanco: Well, that's true, yes. And so we're trying to get a little bit more color around that and see if they can -- would put anything in writing as to exactly what we can expect on that.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Okay. And then last question. As far as capital deployment goes, I guess why not a larger share repurchase authorization? I guess -- obviously, you are looking to do a $400 million deal, so that's obviously a good place to put money. But you've got a lot of capital flexibility. Why stop at just offsetting dilution?
Roger J. Medel: Yes, well, because I want to spend it all buying practices. So that's the real answer. I do think that we have opportunity to maybe spend a little more if things fall our way. And so until we get some clarity on that, I think my choice is always to put the money to work by acquiring more practices. They come with not only earnings but lots of cash flow. And to me, that's a better place to go than competing with our shareholders to buy our shares. I think that we took a good first step in talking to our board about making up for our equity programs, and I'm pretty happy with where we're at actually.
Operator: We go to the line of Brooks O'Neil with Dougherty & Company.
Brooks G. O'Neil - Dougherty & Company LLC, Research Division: I just have a couple of questions. Number one, I was curious, Vivian, if you've given a lot of thought at maybe actually establish a policy for how you're going to account for the retroactive collection of those parity payments, particularly as they get quite a bit bigger. I could envision a lot of money coming in with not much expense to offset it. Is that how we're going to see it? Or are you going to do it some other way?
Vivian Lopez-Blanco: No, I mean, you do see it in the net revenue line. And so that's where it should be because it's an increased reimbursement. Right now, we're primarily doing it on a cash basis of accounting because again, I don't have a lot of color yet. The idea would be to try to go on an accrual basis, which is typically what you do with revenue of this size company. But again, I haven't really had a lot of clarity on some of the states, but that's where we'd like to go to. So right now, we're doing cash basis, and it does show up on the net revenue line as a pick up. Now I would like to just remind everybody that for us, that does basically get bonus affected, as well as tax affected because a lot of those practices on a same-unit basis, that would impact your bonus.
Brooks G. O'Neil - Dougherty & Company LLC, Research Division: Sure. That makes total sense. But a lot of the other expenses probably have already flowed through once those payments come in.
Vivian Lopez-Blanco: What other expenses do you mean, Brooks?
Brooks G. O'Neil - Dougherty & Company LLC, Research Division: Well, just your normal G&A expense. And you have the practice expenses as revenue that's going to come in after you've handled the traditional accounting for your business.
Vivian Lopez-Blanco: Yes, I mean, the other expenses, right. I mean, we would basically accrue for them as we incur them. So this revenue, we're just, like right now, waiting to get the cash and accruing it. Like I said to Ryan, I mean, there's only one state so far that we've seen -- we've received any retro payment. So hopefully, there's a lot more to come.
Brooks G. O'Neil - Dougherty & Company LLC, Research Division: Yes, that's good. So switching gears, I'm just curious if the timing of acquisitions has largely mirrored what you had expected for the year or whether anything has changed dramatically relative to what you're sort of thinking for 2013.
Roger J. Medel: Okay. We never get them done as fast as I want, but we also are not...
Brooks G. O'Neil - Dougherty & Company LLC, Research Division: Come on, you've got to get those guys moving.
Roger J. Medel: Right. We're not rushing either. We're going to wait until they're right to get them done. So I would like to have seen one other acquisition completed by now. Having said that, there are a couple of anesthesia acquisitions that we're working on that I'm fairly confident we'll get done this quarter. So I'm happy about that. To sort of put my $0.02 worth into your question to Vivian, I think that the parity payments only need to be affected by the bonus and the tax. It's a fixed cost business. You've been around long enough. We're not hiring more people. We're not paying more malpractice insurance. We're not incurring any other additional expenses. But they do have to be affected by bonus and taxes.
Brooks G. O'Neil - Dougherty & Company LLC, Research Division: Sure. So I guess my gut tells me that will help the margins over time, at least for the 2 years or maybe 2 years plus that you'll be collecting, I mean, it will be a good thing?
Roger J. Medel: Yes, let's hope it's longer than 2 years.
Brooks G. O'Neil - Dougherty & Company LLC, Research Division: Right, exactly. I was just curious. One last thing. Obviously, traditionally 3Q, you see a little bit of uptick in the Medicaid mix. We're a little bit into 3Q now. I'm assuming you have seen the normal shifts. So we probably shouldn't be expecting the payor mix shift in the favorable direction we saw in the second quarter as we go through the summer period. Is that how you're thinking about it right now?
Vivian Lopez-Blanco: Well, what we did for the forecast, Brooks, is that we basically put it at the same favorability as Q2, which is about 30 basis points as -- I'm sorry, not favorability, but negativity, which is the 30 basis points or so. But it is higher than Q2 because of what you just said. We agree with you that basically, year-over-year, hopefully it won't be as dramatic, but it is a higher mix generally in Q3 than Q2.
Operator: And next, we go to the line of Rob Mains with Stifel.
Robert M. Mains - Stifel, Nicolaus & Co., Inc., Research Division: Vivian, a couple of clarifying questions. First of all, on the payments that you're receiving for parity. If they're being done on a cash basis, then there are some catch-up payments that you're going to be booking that aren't going to be recurring. I guess from what you're saying is that you expect the volume of the states that are coming on going forward to eclipse any kind of kind of a onetime benefit that you're going to receive in any given quarter from the catch-up payments. Is that a fair statement?
Vivian Lopez-Blanco: Well, we're still expecting to get more onetime payments, too, because -- so not only am I going to get more states, I'm hoping, but I also need to get more of the retro payments because as I said, there's only one state right now that's paid me retro. So it should be on both fronts.
Robert M. Mains - Stifel, Nicolaus & Co., Inc., Research Division: Okay. But that -- the $0.05 for the third quarter shouldn't be viewed as a high watermark?
Vivian Lopez-Blanco: No, no. I think we've been conservative because again, we basically don't have a lot more visibility onto this. And like I said, we meet every couple of weeks or so, and it does continue to be favorable on the number of states that have their plans approved, et cetera. But until I see that cash and they start paying me on a more regular basis, it's hard for me to estimate that.
Robert M. Mains - Stifel, Nicolaus & Co., Inc., Research Division: Okay, fair enough. And then if births are flat and NICU volumes are down, is that a percentage of babies admitted to the NICU issue? Is it a length of stay issue? Is it a little of both?
Roger J. Medel: The percentages are down slightly, but I mean, nothing that -- I mean, it's basically within historical -- well within historical ranges, as well as the length of stay. So it's not the longest length of stay that we've ever had and it's not the highest percentages, but if it's 12 -- I don't have the numbers in front of me, but if it was 12.1, may be 11.9. Or if it was 12.3, it may be -- it's not what's causing the drop in admissions.
Vivian Lopez-Blanco: Yes, it's about the -- the admit rate is really pretty much right on track. And as Roger said, it's miniscule, the difference. And so is the length of stay. So it's really not that at all, Rob.
Robert M. Mains - Stifel, Nicolaus & Co., Inc., Research Division: Okay. So an obvious follow-up, there's no trend to be read from that?
Vivian Lopez-Blanco: Yes, right.
Roger J. Medel: That's right.
Operator: And next, we go to the line of Matthew Weight with Feltl and Company.
Matthew J. Weight - Feltl and Company, Inc., Research Division: I don't recall in the past you guys citing declines in anesthesia same-unit volumes. So I'm wondering, it would be helpful if you could provide any kind of range of what the historical same-unit volume growth in anesthesia has been?
Vivian Lopez-Blanco: Well, Karl is here, so I'm going to let him add a little bit more color. But the one clarifying statement I want to make is that it was slightly down. So the volume impact, the biggest volume impact overall on MEDNAX is related to NICU volumes. So with that, Karl, you want to do more color to that?
Karl B. Wagner: Yes. I mean, I think traditionally, you've been seeing growth in our anesthesia volumes. So I think Vivian is right. We're slightly down. I mean, that almost felt[ph] flat. So we didn't see dramatic change there. Some of what we know is a function of we had a hospital lose some business, a payor moved a chunk of the business out. We know that impacted in one place. But we did see it in other locations being down a little bit on the outpatient. But there was nothing that was concerning. We didn't see drastic moves and it was -- as Vivian said, that was slight. Historically, we have seen increases. So this was a little bit of a difference, and we'll continue to watch to see if it changes as we move forward. But I don't think there's any major concerns that things are changing at this point.
Matthew J. Weight - Feltl and Company, Inc., Research Division: Okay, that's helpful. And then Vivian, one more parity question here. For 2014, outside of any retroactive payments you receive, would you hope to be recognizing revenue on an accrual basis?
Vivian Lopez-Blanco: God, I hope so. I hope so. But I'm hoping that things will get much better in the third quarter as predictability so that we can start estimating it. Because right now, as I said to you guys in prior quarters, there are some practical things with it. Our patient accounts folks are still looking to see the payments that we get, really how do they size up to what we expected, are all managed Medicaid programs being paid and just that rate differential because there are some locale differences on some of the codes and all that. So without getting into a lot of these practical issues, I'm hoping that for sure that will be the case.
Matthew J. Weight - Feltl and Company, Inc., Research Division: That would be great. And then, Roger, last question here. I'm curious, from an M&A perspective with anesthesia, you referenced in your prepared remarks escalating interest. And I don't want to take too much into the escalating, but it sounds more bullish. Why are you seeing that? Is it Healthcare Reform? Or any color around that would be helpful.
Roger J. Medel: I think it is that. I think there is instability and uncertainty about where all of this is leading, whether -- even any of it is going to happen. And I think that hospitals are putting a lot of work into these hospital-based groups, hospitals here like they have to have flexibility in order to be able to contract with whatever systems may end up happening. And so I mean, there's just a lot of unknowns. And the physician groups are looking to see -- they're starting -- I think -- I'm sorry, I think they have realized that they need to do something and their need to partnering -- they need to partner. And so their questions are, should we partnering with our hospitals? Should we partnering with large groups like ours? And so we are seeing, I think, as a result of that, an escalating number of groups that are looking for what their alternatives -- exploring their alternatives. Yes, let me also add to answer Rob's question. The admit rates for the second quarter was 13.3%. And that is down 10 basis points from same quarter a year ago. And the average length of stay was 18.2 days, and that's down 20 basis points from same quarter a year ago.
Operator: And next, we go to the line of Darren Lehrich with Deutsche Bank.
Darren P. Lehrich - Deutsche Bank AG, Research Division: I'm just -- I wanted to clarify one thing as it relates to the buyback authorization. Is the amount you've authorized, does that equate to the number of options that were exercisable at year end last year? So is it like 1.5 million shares? Or can you just kind of identify numerically how the authorization works?
Vivian Lopez-Blanco: Yes. It's roughly about just the whole dilutive impact, which obviously, most of it comes from the equity programs. So it's roughly in a range of 1 million to 1.2 million shares a year.
Darren P. Lehrich - Deutsche Bank AG, Research Division: Okay, that's very helpful. And then just going back to your volume outlook for the third quarter, I just want to make sure I understood what you're messaging here. You referenced the comp, which we obviously can see for NICU was very strong. In terms of how the third quarter volumes are being contemplated, is there any differential that you'd want us to consider for the guidance between anesthesia and the pediatrics business? Will one be positive and one be negative and so it ends up all being flat? Or is there any way to distinguish?
Vivian Lopez-Blanco: Yes, I mean, when we talk about it, we talk about it overall. And so potentially, like I said, this quarter, and Karl has reiterated that, I mean, most of that slight negativity was not coming from anesthesia because like I said, anesthesia was slightly negative. It was more weighted towards the NICU side of the house. And so we'll continue to look at that, and when we look at it, we just look at it all in. I mean, typically, all of our specialties, some could be up, some could be down. Other pediatric services is up. So it's just all in. It's hard to predict any one specifically.
Darren P. Lehrich - Deutsche Bank AG, Research Division: Sure. That's fair, okay. And then just in terms of the bonus effect of the parity, I know you've talked about this before, but just the split. Have you -- is there a set number that you'd guide us to going forward on this?
Vivian Lopez-Blanco: Well, no. I mean, typically, as we said, the bonus -- for the practices that are in bonus, we have the 50/50 incentive plan. And so roughly, that works out to about 45% or so. I mean, it could -- in any given quarter, it could be different or for the year or depending on where they're at. But we do plan on sharing that with them as part of their practice upside.
Operator: And our last question is a follow-up from the line of Kevin Ellich with Piper Jaffray.
Kevin K. Ellich - Piper Jaffray Companies, Research Division: Just 3 quick follow-ups. Now that anesthesia is 30% of revenues, and I know that you have pretty good payer mix, just wondering if you saw any impact from sequestration this quarter.
Vivian Lopez-Blanco: Yes. So anesthesia impact of sequestration, our estimate for the whole year basically is pretty immaterial, yes.
Kevin K. Ellich - Piper Jaffray Companies, Research Division: Okay, that's fair. And then well, to that point, Vivian, could you say what percent of anesthesia revenues comes from Medicare?
Vivian Lopez-Blanco: It's not -- we haven't disclosed it, but we just -- like I said, it's just not material, the 2% sequestration.
Kevin K. Ellich - Piper Jaffray Companies, Research Division: Got it, okay. And then on the debt and interest expense, I guess, should we -- with buyback and the increased expectation for maybe more acquisition spend on the back half, safe to assume interest expense is going to ramp up and you guys will continue to use the balance sheet, Roger?
Roger J. Medel: Yes, I mean, again, these practices come with a lot of cash flows. So when we acquire one of these practices, it's not just the earnings. It's also the cash flow. But we will continue to use both our line of credit and the cash flow from our practices.
Kevin K. Ellich - Piper Jaffray Companies, Research Division: Got it. And then just very minute issue here, Vivian. Tax rate was just a little bit lower than I expected this quarter. I'm curious if there's anything behind that and where you think tax is going to shake out this year.
Vivian Lopez-Blanco: Yes, I do think it will be -- that's a good question, Kevin. I do think that the tax rate is going to be slightly lower than last year. We continue to see some positive items that are called discrete items for tax. So basically, they're occurring every quarter as we basically just have some of our uncertain tax positions that are reversing. And so that's kind of what you've seen.
Roger J. Medel: Okay. Well, if there aren't any more questions, thanks, everyone, for participating this morning. And we'll look forward to speaking with you next quarter. Thank you, operator.
Operator: This concludes our conference for today. Thank you for your participation and for using AT&T Executive Teleconference. This conference will be available for replay today after 12:00 p.m. through August 11 at midnight. You may access the system by dialing 1(800)475-6701 and enter the access code 296008. International participants, (320)365-3844. Thank you.